Operator: Ladies and gentlemen, thank you for standing by and welcome to Accenture's third quarter fiscal 2010 earnings conference. At this time all lines are in a listen only mode. Later there will be an opportunity for your questions and you may queue up at any time during the presentation by pressing star then one on your touch tone phone. If you should require assistance from an operator please press star then Zero. I would also like to remind you that today’s conference is being recorded. I will now turn the conference over to Richard Clark, Managing Director of Investor Relations. Please go ahead, sir.
Richard Clark: Thank you, operator and thank you everyone for joining us today on our third quarter fiscal 2010 earnings announcement. As the operator just mentioned I'm Richard Clark, Managing Director of Investor Relations. With me this afternoon are Bill Green, Chairman and Chief Executive Officer and Pamela Craig, our Chief Financial Officer. We hope you have had an opportunity to review the news release we issued a short time ago. Let me quickly outline the agenda for today’s call. Bill will begin with an overview of our results. Pam will take you through the financial details including the income statement and balance sheet along with some key operational metrics. Bill will then provide some insights on what we are seeing in the market and how we are positioning ourselves for business for future growth. Pam will provide our business outlook for the fourth quarter and full fiscal year 2010. And then we will take your questions. As a reminder, when we discuss revenues during today’s call we are talking about revenues before reimbursements or net revenues. Some of the matters we will discuss on this call are forward-looking and you should keep in mind these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include but are not limited general economic conditions and those factors set forth in today’s news release and discussed under the Risk Factors section of our Annual Report on Form 10K and other SEC filings. During our call today, we will reference certain non-GAAP financial measures which we believe provide useful information for investors. We include reconciliations of those measures to GAAP in our news release or on the Investor Relations section of our website at Accenture.com. As always, Accenture assumes no obligation to update the information presented on this conference call. Now, let me turn the call over to Bill.
Bill Green: Thank you, Richard, and thanks everyone for joining us today. We are very pleased with our performance in Q3 which showed positive growth, strong overall results, and building momentum in our business. Equally exciting, we see increasing demand for many of our new services and offerings across both management consulting and technology. Here are some of the highlights from the quarter. Revenues were 5.6 billion squarely within our expected range of 5.5 to 5.7 billion. We grew operating income 10% and increased operating margin to 14.4%. We delivered earnings per share of $0.73, an increase of $0.05 over Q3 last year. New bookings were strong at 6.4 billion with consulting and outsourcing each exceeding 3 billion. We generated more than 900 million in free cash flow and we continue to have an exceptionally strong balance sheet. Everywhere you look at it, a very good performance. While there is still pockets of uncertainty in the global economy, we continue to see signs of positive momentum as clients are again looking to their future and focused on improved growth and business performance. We are right there, working closely with them and are helping them shape and launch their initiatives which create exciting opportunities for Accenture. We continue to make targeted investments in new offerings and services and are aggressively recruiting high quality talent to ensure we have the breadth and depth of capabilities to serve our clients today as well as tomorrow. I believe that as a company, we have never in our history been better positioned for growth and expansion than we are today. With that I will turn the call over to Pam who will provide some more detail on the numbers.
Pamela Craig: Thank you, Bill, and thanks for listening in today. I am pleased to tell you more about our strong third quarter results. We did our planning for fiscal year 2010 a year ago in a challenging and unpredictable environment, and as we wind down the year, we are delivering. We are driving the business and getting the results. Our pipeline has strengthened considerably since the start of the year. We are aggressively recruiting talent, and bookings are coming through well. We have the revenues we projected, some margin expansion, exceptional cash flow, and a rock solid balance sheet. In this environment, this is an excellent result. Now let us get to the numbers. Unless I state otherwise, all figures are US GAAP except the items that are not part of the financial statements or that are calculations. New bookings for the quarter were 6.43 billion and reflect a positive 5% foreign exchange impact compared with new bookings in the third quarter last year. Notably, Financial Services new bookings are at an all-time high year-to-date up 35% in local currency. Consulting bookings were 3.18 billion, and outsourcing bookings were 3.25 billion. Looking at how consulting bookings have trended over the last couple of years, I believe we have reached a new level with the volume and consistency of consulting bookings. Even with contract sizes trending smaller, we are consistently booking 3 billion or more a quarter. As you know, this is where we have a clear competitive advantage, and benefit not only from working in the suite but also from the downstream work that originates from consulting. In management consulting demand is broad based and strong as I said after Q2. We continue to see demand for services related to business improvement, particularly strategic sourcing, customer relationship management, risk management and post merger integration. We also see a pickup in demand for offerings around revenue growth and talent and organization performance. In technology consulting we see robust demand with record bookings for the Second Quarter in a row. Clients demand continues to be for what makes their technology more efficient and effective, through infrastructure consolidation, virtualization, security, and IT governance projects. In systems integration we see a broad pipeline of opportunities. Bookings continue to reflect demand for custom work as well as for ERP rollouts, country expansions, and new modules. We see custom development on multiple next generation platforms, both on premise and cloud based. The bookings sparked solid SI revenue growth in some of our larger countries during the quarter. We are aggressively leveraging our global delivery network to broaden our footprint at existing clients and at the new clients we are adding to our portfolio, and to all clients, we are delivering more value for money. Turning to outsourcing. Our outsourcing bookings reflect a steady recovery. In Q3, we closed five contracts in excess of $100 million each. We saw a solid demand for technology outsourcing offerings and technology consulting is helping to drive the design build run of next generation infrastructure and the consolidation and renewal of application platforms in order to drive value for our clients. In addition, we are seeing demand build in our BPO business, particularly in products and communications and high-tech. So in summary we had a bookings quarter that was strong across the consulting and outsourcing dimensions of our business. Now, turning to revenue. Net revenues for the third quarter were 5.57 billion, an increase of over 8% in US dollars and almost 4% in local currency over the same period last year. These revenues, which reflect a rounded foreign exchange impact of positive 5% compared with Q3 last year were solidly in our guided range of 5.5 to 5.7 billion. Consulting revenues were 3.22 billion, an increase of 9% in US dollars and 4% in local currency. Outsourcing revenues were 2.35 billion, an increase of 7% in US dollars and 3% in local currency. As we expected, year-over-year revenue growth turned positive in local currency in Q3 lead by-products, financial services, and resources. Financial services net revenue growth was 7% in local currency with notable 17% growth in consulting. We saw growth across all three geographic regions, particularly in banking and capital markets. As clients grapple with the dynamic environment we are providing services related to post merger integration, core banking replatforming, risk and regulatory compliance, and business model transformation. Products net revenue growth was a strong 9% in local currency. Consulting growth was lead by consumer goods and services as we respond to client demand for cost management and post merger integration around the world and notably in the emerging markets. Outsourcing revenues increased significantly across all geographic regions and in most of our industry groups. Resources net revenue growth was 5% in local currency with strong consulting growth in the Americas coming from all industry groups and driven by demand for global operating models, CRM and ERP. We also saw an uptick in post merger integration and smart grid related projects. Outsourcing revenues also increased as we saw strong growth in our energy industry group. Communications and high-tech revenues reflected a decline of 3% in local currency. Our consulting revenue declines moderated significantly since the first half of the year and at this point reflect a return to significant growth in the Americas but continued lagging performance in EMEA. A modest decline in outsourcing revenues reflects the impact of last year’s cancellations. The activity building in communications in high-tech is largely focused on next generation networks, strategic sourcing, content delivery and innovations in marketing and customer service. Health and Public Service revenues were flat in local currency. We are seeing growth in our outsourcing business lead by increased volumes at existing clients in our US federal and our health practices. We experienced declines in consulting revenue in the public sector as continued uncertainty and challenges in the public sector remain, particularly in the US and the UK. We are seeing strong growth in emerging markets such as Brazil and Mexico. Moving down the income statement, gross margin was 34.7% compared with 32.5% for the same period last year reflecting a 220 basis point improvement. Sales and marketing expense was 714 million or 12.8% of net revenues compared with 525 million or 10.2% of net revenues for the third quarter last year, an increase of 260 basis points. The 220 basis point improvement in gross margin was offset by a corresponding increase in sales and marketing expense due to the implementation of our sales effectiveness model put in place at the start of this fiscal year. The additional 40 basis point increase in sales and marketing expense was due to our efforts to grow our sales pipeline. General and Administrative expense was $410 million or 7.4% of net revenues compared with 411 million or 8.0% of net revenues for the third quarter last year, so while G&A dollars were flat year-over-year, they were down as a percentage of revenue. We continue to hold the line and work our G&A costs down as a percentage of net revenues. Operating income was 804 million reflecting a 14.4% operating margin. This compares with 732 million or 14.2% operating margin in the third quarter last year, an increase of 20 basis points. Our financial services and resources operating groups posted growth in operating income and operating margin compared with the third quarter last year. This was due primarily to revenue growth, notably consulting revenue growth which also brought higher utilization. Health and Public Service operating margin declined in the third quarter compared to the same quarter last year due to lower contract profitability and increased selling costs. Net-net, adding up all the parts of Accenture, we achieved an expansion of 20 basis points in operating margin. As you know, we manage our businesses operating margin and are pleased with this result. Our effective tax rate for the quarter was 29.8% compared with 28.2% for the third quarter last year. Net income was 564 million for the third quarter compared with 537 million for the same quarter last year, an increase of 5%. Diluted earnings per share for the quarter were $0.73 compared with $0.68 in the third quarter last year, an increase of $0.05. Here is how that breaks down. A $0.03 increase from higher revenue and operating income in local currency, a $0.02 increase from a lower share count and a $0.03 increase from favorable foreign exchange rates compared with the third quarter of fiscal 2009. Offset by a penny decrease from lower non-operating income and a $0.02 decrease from a higher effective tax rate compared with the third quarter last year. This strong earnings performance reflects our rhythm of continued disciplined management of our business and positions us well. Now, let's turn to some key parts of our cash flow and balance sheet. Free cash flow for the quarter was 903 million resulting from cash generated by operating activities of 961 million net of property and equipment additions of 58 million. This very strong cash flow reflects the continued focus on managing our industry leading DSO. Turning to DSOs, our days services outstanding were 28 days, down from 30 days in the Second Quarter and consistent with 28 days at the end of last fiscal year. Our total cash balance at May 31 was $4.3 billion, even after 1.3 billion of share repurchases and 824 million of dividends paid year-to-date through the third quarter. Turning to some key operational metrics. We ended the quarter with global head count of more than 190,000 people. In Q3, our utilization was 88%, still higher than our targeted level. We are there for very focused on where we need talent and we are on our way to hire more than 50,000 people around the world this year. Attrition which excludes involuntary termination, was 17% compared with 15% in Q2 this year and 8% in Q3 last year. This is higher than we would like but not uncommon for when we come out of a downturn. Before I turn things back to Bill, I will comment on our ongoing objective to return cash to shareholders through dividends and share repurchases. May was the first time we paid dividends to our shareholders on the semi-annual basis. As I mentioned last quarter, the dividend payment of $0.375 per share was exactly half of our previous annual dividend of $0.75 per share. Also in the third quarter, we repurchased or redeemed approximately 11 million shares for 447 million at an average price of $41.97 per share, including approximately 5 million shares repurchased in the open market. At May 31st, we had 3.6 billion of share repurchase authority remaining. In summary our strong Q3 results reflect the upturn we are seeing in our business. It continues to be and will continue to be a challenging environment and we need to keep executing. Thanks to the focus and determination of all of our people around the world, we delivered great results this quarter and are on our way to achieving our full year business outlook. Finally, I would also like to mention that we were pleased to see that we were added to the S&P total market index and to the preliminary list for inclusion in the Russell 1000. Now, let me turn the call back to Bill.
Bill Green: Thank you, Pam. Before Pam takes you through the outlook of Q4 and the full year, I just wanted to take a moment and talk about where we are and how we are positioned for the future. Some of this we shared with you at our investor meeting in April. While economic recovery remains under way it is uneven as you know, in spite of this, our results in Q3 show a clear return to growth for Accenture, and quite simply we are excited about the future growth opportunities we see. The imperative for improved business performance for our clients is increasing and our positioning to serve them is excellent. We have managed our business very well through the economic challenges. We have also sharpened our ability to differentiate our offerings to compete, to win, and to grow. Fiscal 2010 is about delivering results and getting back to the momentum and growth we are executing as planned. In April, we set out our strategy to the investment community. In short we see growth coming from three dimensions. The first dimension is our core business. This includes the vast majority of consulting, technology and outsourcing services we have traditionally provided to our clients. We have refreshed and renewed our core. It is alive and vibrant, incredibly differentiated and powerful. Our core business is and will continue to be our primary growth engine. The second dimension, our new initiatives and businesses. This is a set of services that we are building both within and on top of our core. Things like analytics, digital marketing, mobility, smart grid and sustainability as well as new technology areas such as cloud computing and cyber security. We believe many of these have the potential to become new billion dollar services for Accenture. And finally the third dimension is geographic expansion. This is about taking all of the elements of our business and providing those services in more places around the world. We are dialing up our focus on our six strategic growth markets as well as entering and expanding in new markets. We have the unique ability to provide consistent service to the world's biggest companies anywhere in the world they operate. Our core is executing well but we still have incredible head room even in our most penetrated markets. We are seeing real traction in our new business areas with a growing pipeline of opportunities and our geographic expansion strategy is well under way. In fact over the past few months I visited Accenture offices and clients around the world including in China, Mexico, Africa, and the Middle East and I'm excited about the growth opportunities for Accenture and these important markets of the future. Of course, what makes the difference for Accenture are two things; our talent, having the best people in our industry and our superior execution, being better at what we deliver than our competitors. We continue to have an unyielding focus on recruiting and retaining the best people with the deepest and most relevant skills and breadth of experience, and we continue to instill discipline and a culture of performance excellence in everything we do, for our clients and then how we run our own business. In fact we have recently created a new role of Chief Performance Officer to further our commitment to this important area. These are among the many reasons we are better positioned than ever for the future. Now I will turn it back to Pam who will provide our business outlook for the fourth quarter and the full year.
Pamela Craig: Thank you, Bill. This business outlook for fiscal year 2010 includes fourth quarter revenues and our final view on the year. For the fourth quarter we expect revenues to be in the range of 5.15 to 5.35 billion which reflects local currency growth of 5 to 9%. This revenue range assumes a foreign exchange drag of 5% for the quarter that is based on the rates over the last three weeks. Turning to the full fiscal year, we are now assuming a foreign exchange impact of positive 2% for the full fiscal year which has trended down from the positive 3% assumption we provided last quarter and from the positive 4% assumption we had when we began the fiscal year. Based on our year-to-date results and the outlook just provided for Q4, we continue to expect our fiscal year 2010 revenue to be at the low end of our previously guided range of a 3% decline to a 1% increase in local currency. We continue to expect new bookings for the full fiscal year to land in our previously guided range of 23 to 26 billion. Given where we are in the year and over 18 billion of bookings year-to-date, we expect to end up toward the middle of that range. This is even with the additional 2% foreign exchange drag we have experienced since we first provided our bookings outlook in October. We now expect operating margin to be 13.5% for the full fiscal year, given year-to-date performance and our projection for Q4. This is 10 basis points higher than what we last communicated. We are updating our annual effective tax rate to now be in the range of 29 to 30%. We now expect earnings per share to be in the lower half of our previously guided range of $2.61 to $2.69. This includes our latest assumptions on foreign exchange and the annual effective tax rate. Finally, we now expect operating cash flow to be in the range of 2.5 to 2.7 billion with property and equipment additions to now be 240 million and free cash flow to now be in the range of 2.3 to 2.5 billion, an increase of $200 million from our previously provided range. This completes our business outlook for Fiscal 2010. At our investor and Analyst day on April 8th, I provided a preliminary view into our fiscal year ‘11 targets for revenue growth in local currency, the growth rate of our earnings per share in US dollars, and cash to be returned to shareholders. We continue to expect local currency revenue growth to be in the range of 7 to 10% for fiscal year ‘11. This level of business expansion and all of the key underlying planning assumptions about our business remain the same, except of course for foreign exchange dancing around. As I also mentioned on April 8th, I will provide our full business outlook including any impact of our currency assumptions when we do our Q4 earnings call at the end of September. In closing, as I consider how our business is positioned for fiscal year ‘11 and beyond, we recognize that global economic and geopolitical challenges we will continue. Right now, the economic and currency uncertainty in Europe has become center stage. We have become very agile responding to the markets around the world. We will continue to leverage the best of Accenture; our very experienced leadership team, our scale, our market position, and our client relationships. Through our unique ability to combine consulting and outsourcing services, we will focus on value for money for our clients and in so doing, we do what we always do, drive growth in revenue, growth in operating margin, and growth in cash flow. Richard, let's take some questions.
Richard Clark: Thanks, Pam. Operator, would you provide instructions for those on the call?
Operator: Certainly. (Operator instructions) Our first question comes from Rod Bourgeois with Sanford Bernstein.
Rod Bourgeois – Sanford Bernstein: Okay guys, great. Thanks for the update here. I guess I wanted to inquire a little bit about the outlook for the next year. I'm wondering if you feel better or worse about your 7 to 10% revenue growth guidance for fiscal 2011 compared to how you felt at the Analyst day and specifically, where we are seeing a lot of questions is in the area of Europe. Do macro issues in Europe cause you to worry a little more about that fiscal 2011 guidance or does having a good quarter under the belt make you still feel pretty comfortable with that range?
Bill Green: Rod, this is Bill. Good to talk to you. We feel good about the 7 to 10, as good or better as we felt back in April. The level of business activity I think in the US, we see we are getting through the recovery and into sort of an expansion. Europe of course is uncertain, but we haven't seen it impact our business at all, and in Europe, we have great market penetration and great clients and we see the leading companies continuing to invest for their future, so I'm sure Europe will bounce along a little bit, a little less certain in the United States than North America broadly but on balance we feel very good about the business and as good or better as we felt in April.
Rod Bourgeois – Sanford Bernstein: Okay, great. And I guess on the margin front I'm hoping the fact that you are now committed to some modest margin expansion for fiscal 2010 I'm hoping that's a reflection that Accenture is in an ongoing way committed to trying to pursue margin expansion every year rather than the idea of holding back on margins.
Pamela Craig: I think that's a fair statement, Rod.
Rod Bourgeois – Sanford Bernstein: All right, great. Specifically also on the margin front, I was interested that you increased your sales and marketing expenses 40 basis points to drive a better pipeline. I'm wondering if that's a function of having pulled back on your sales and marketing expenses last year given the downturn, or so is it a function of an easy comparison versus last year on your expense basis, or is it a function of seeing a better pipeline, but also a pipeline where you have to fight pretty hard with the competition?
Bill Green: Well, I think there's no question that there's still plenty of fighting with the competition. That will never go away, but frankly the few basis point increase there is just in the normal course of things. Our people generate the business and then many of our people get into delivery mode and the business is very busy right now, and so that will fluctuate around a little bit but it's certainly not engineered in any way and we are pretty relaxed about sort of the yield we are getting from the sales and marketing effort that we are putting in.
Rod Bourgeois – Sanford Bernstein: So it's not a reflection of tougher competition or a reflection of a, sort of, recent big, big jump in the pipeline?
Pamela Craig: No, not particularly.
Rod Bourgeois – Sanford Bernstein: Okay, great. Thanks guys. I will turn it over.
Bill Green: Yeah.
Pamela Craig: Okay, thanks, Rod.
Operator: We have Darrin Peller with Barclays.
Pamela Craig: Hi, Darrin.
Darrin Peller – Barclays Capital: Hi, how are you guys doing? Thanks. Just a quick follow-up on Europe. Would you mind giving a little more disclosure on the revenue generated from governments in Europe versus corporates just and any sentiment that they've given you? And then just a quick follow on.
Pamela Craig: Yeah, the government or what we call Public Services is the smallest part of Accenture in Europe, and I think that we do see isolated impact from the UK, which is our largest market there.
Darrin Peller – Barclays Capital: Okay, so there is an isolated impact being seen there at this time?
Bill Green: Yeah, I mean, in the UK, it's very public knowledge that they are scrutinizing all of the public expenditures very closely. I think you got to go to the Prime Minister in order to get blessing, so as they continue to deal with their challenges, you have to have a good business case and a solid payback and a near term one that recognizes that you are going to deliver value for money. That said, there's still a lot of services that are provided and supported in the UK that need to go on, and so the business volume there will continue but a lot of the opportunities for the new things. I think we could safely say will probably be put on hold in the UK, and maybe one or two other countries as time goes on.
Darrin Peller – Barclays Capital: All right thanks. And then quickly on consulting, book-to-bill came down to about one-time. Would you say trends are basically faster or revenue conversion there, or higher quality contracts beginning to convert, and do you see more coming through in the second half?
Bill Green: Well, the level of activity is intense I think would be the choice of words that I would use. I think we do see smaller pieces. There's no question so the velocity is much higher, and many times, you agree it on a Friday and you start it on a Monday, so there is a lot of spin in there, and we are pretty comfortable with the 1.0, we looked at that very hard, but the thing we are excited about is sort of the level of consulting activity, particularly the new things in companies that really haven't been investing in their business over the past 12, 18, 24 months are starting to put a toe in the water or up to their knees at least in terms of new initiatives they want to get under way so they can hit their calendar 2011 with some momentum and some new projects.
Darrin Peller – Barclays Capital: That's great. All right thanks, guys.
Pamela Craig: Thank you.
Operator: Next is Tien-Tsin Huang with JPMorgan.
Pamela Craig: Hi, Tien-Tsin.
Tien-Tsin Huang – JPMorgan: Hi, Pam. Thanks so much. Just kind of a nick question first, what's driving the difference in revenue outlook in the fourth quarter of the 5 to 9% versus the fiscal ‘11 outlook of 7 to 10, what was driving the lower end of the range difference there?
Pamela Craig: Well, the 7 to 10 is of course over the whole year versus the quarter and I mean I think that this is just reflects how our business is ramping, it was almost four this quarter and it's trending up a little next.
Tien-Tsin Huang – JPMorgan: Okay, so nothing unusual?
Pamela Craig: No, no.
Tien-Tsin Huang – JPMorgan: Okay. And then just in the quarter itself, the bookings allocation between consulting and outsourcing, how did that compare versus plan? Just any kind of color there would be helpful.
Pamela Craig: I mean, it was right about what we expected and really pretty consistent with the way it has been over the recent past.
Tien-Tsin Huang – JPMorgan: Okay, last one, just on the gross margin. I know you said that some of the improvement was due to the sales effectiveness model, Pam, but it was still the biggest year-on-year increase we've seen in quite a while, so I'm curious if there's anything else that's driving some of that gross margin expansion beyond the sales effectiveness?
Pamela Craig: No, there's not at this time. As you know, I will never give up on that and we will be continuing to push that in fiscal 2011 but for right now, we saw some very good progress with that last year but and we will be pushing again on it next year.
Tien-Tsin Huang – JPMorgan: All right. Good stuff. Thanks a lot.
Pamela Craig: Tien-Tsin.
Operator: Next we have Joseph Foresi with Janney Montgomery.
Pamela Craig: Hi, Joseph.
Joseph Foresi – Janney Montgomery: Hi, how are you doing? I guess my first question is I guess a little bit surprising to see utilization up around the 88% range. I was wondering – is that holding you back from addressing revenue opportunities at this point and how do you manage that potentially coming down in an effort as you still try to kind of raise your margins here?
Bill Green: Well, as we have said, 88 we view as hot and we continue to hire aggressively and shovel coal in the engine, if you will, to keep the train moving down the tracks. We would like to see that come down a little. Our supply and demand balance is in very good shape right now, but we want to continue to get great talent which will give us more people to create new opportunities as well as learn some new skills for the things we see in the future, but we continue to focus on that. We've been holding at that 88% level, and if we took a few points off it, that would be great but that's how the result came out, so I think it just speaks to the fact that the business has picked up and we are recruiting good quality talent in a smart way, as best we can, but the business has rebounded and we are keeping a lot of people busy.
Joseph Foresi – Janney Montgomery: Has there been any change in the size, length or the pricing on any of the deals over the last couple months?
Bill Green: Really, no. I mean if you stand back in the law of large numbers, pricing continues to be challenging around the place. In Europe right now it's particularly challenging. We have our places where the pricing is getting better, but on balance, it's still very competitive out there, as people focus on the highest quality work. And other than that, I think it has been pretty consistent for the last couple of quarters in terms of the activity and the momentum that we see. The good news is, I think we are getting some better choices in terms of the nature of the work. We are starting – the mix of work is starting to change a little, particularly the new next generation kind of technology stuff has really taken hold and that's been in the last quarter and that's a place where we think we have very distinctive experience and capabilities and we hope to be able to get better pricing leverage in some of those specialty areas as we move into the next quarter or so.
Joseph Foresi – Janney Montgomery: And just maybe my final question here. I wonder if you had to describe sort of the (inaudible) here in North America versus that in Europe, I wonder if you could maybe place that, are we at full recovery in the US, maybe actually pushing new opportunities and what (inaudible) would you consider Europe to be in at this point?
Bill Green: Well – I don’t know
Pamela Craig: They are in different innings.
Joseph Foresi – Janney Montgomery: I know that. I am just trying to get – sort of the best answer I can out of you guys.
Bill Green:
Joseph Foresi – Janney Montgomery: Oh, I'm a Red Sox fan.
Bill Green: Okay, thank you for that. No, I guess I would look at it this way. If you look at the US, the recovery is solidly under way but it has, it is not widespread yet, but in a lot of industries, we are starting to move from recovery to expansion and expansion takes a little off the speed, but it broadens the nature of things people are working on. In Europe, I think it's very safe to say that we haven't seen the recovery kick in yet, and so I think there is still plenty of runway to go in Europe, and I think Europe has been in a little bit of a pause, just based on the debt situation and the Euro situation as people are trying to figure out, like what are the economics of things and what are the decisions they are going to make. But if you look at statistically, you will see whether you look at the conference board, the business round table or whatever, you will see in North America an increase in hiring over the last period, an increase, a modest one in capital spending, and people's expectations for increases in sales, and you can't correlate the same economic look at Europe at this point in time.
Joseph Foresi – Janney Montgomery: But just to be clear, it's (inaudible), it's not a reversion backwards?
Bill Green: No, no, I don't see any reversion backwards and in fact, you really have to separate the global companies from the local companies. Many of the global companies need to compete all over the world and those companies are continuing to invest and move out because they are seeing business recovery in terms of their sales in the US or the Asian markets. What they don't see is the European companies that primarily sell on a pan-European basis, have not seen consumer spending kick in, and so I think they are just pausing waiting to see how that's all going to unfold.
Joseph Foresi – Janney Montgomery: Okay, thank you.
Operator: We will go next to Julio Quinteros with Goldman Sachs.
Pamela Craig: Julio.
Bill Green: Julio.
Julio Quinteros – Goldman Sachs: Hey, guys, how are you? So it sounded like Europe is more like the Celtics and the US is more like the Lakers right now?
Bill Green: Or a little bit like the Knicks.
Julio Quinteros – Goldman Sachs: Got it. Just real quickly on the headcount plan, I think you had said 50,000 plus and just based on some quick calculation it looks like you guys are running at least in terms of net headcount that’s around 10,000 for this quarter. Is that a rate we can expect for the next one or two quarters from here or how do we think about the ramp of headcounts to kind of balance that against the utilization levels today?
Pamela Craig: Well I think at least for the next quarter, I mean, we are probably something around 40,000 hires year-to-date and do another 10 next quarter, so I think that's at least fair for the next quarter.
Julio Quinteros – Goldman Sachs: That gets you to the 50,000, got it, and then the 7 to 10 for fiscal 2011 in terms of revenue growth – is there any way to sort of break that up a little bit if there's any – any more visibility in terms of what the assumption implied in that is for Europe potentially? Is Europe – I guess in other words is Europe expected to grow, is it flat, down, how are you guys thinking about that?
Pamela Craig: Europe is expected to grow, and we probably aren't going to provide that exact background bit of detail, but just to sort of complement what Bill just said, Europe is ramping slower than the Americas right now and we expect that to continue.
Julio Quinteros – Goldman Sachs: I think even this quarter would mark a pretty big turn where you were down 9 constant currency and now back to flat in terms of European trajectory for constant currency growth?
Pamela Craig: Right.
Julio Quinteros – Goldman Sachs: Got it, and then just lastly, anything to the consulting numbers, relative to our numbers at least the consulting revenues and the consulting bookings were a little bit lighter than what we were looking for, still pretty good in terms of the sequential improvements.
Pamela Craig: Yeah, I mean, I think as I mentioned we had record bookings in technology consulting, management consulting very good, maybe the upside bookings were a tad light but again, we had very good growth in a couple good – couple of big countries in SI and revenue, so that's really the color on that.
Operator: Thank you. And next we have Adam Frisch with Morgan Stanley.
Adam Frisch – Morgan Stanley: Thanks, good afternoon.
Bill Green: Hi, Adam.
Adam Frisch – Morgan Stanley: I just wanted to – most of my questions have been asked and answered already I just wanted to kind of tie in maybe a couple of the questions that were asked though. If there was any blemish in the quarter I would say it was maybe consulting bookings were a little bit lower than we were expecting but you guys are speaking very bullishly obviously fourth quarter growth is accelerating. So I just wanted to know if there was anything in this quarter’s consulting bookings that were maybe kind of one-time-ish like a push out, some delays or anything like that but just wanted to know what the impetus for you guys being so bullish about the next couple of quarters are?
Bill Green: Well we were pleased with the bookings that we reported but in every quarter there's some push outs, there’s things that didn't come through, things that drifted into the fourth quarter that we were sure we are going to get then, but I wouldn't say it was out of the ordinary, I mean, that happens all the time. So we were pretty comfortable with the bookings we have. We do like the trajectory and the momentum and the other thing that is important to me as you know is sort of the nature of the work, and the nature of the bookings that we got in terms of new things, transformation with a small (inaudible), not a big one but things that are defining (inaudible) that will have downstream impact for the firm hopefully for years to come, and so those are the things that we feel good about the quality of the bookings.
Adam Frisch – Morgan Stanley: Okay, so things that we talked about also at the Analyst day when the kind of markets that we are through – changing going from more of a conservative cost cutting mentality to more of a growth mentality, are you still seeing positive trend and things like shorter sales cycle, less C-level sign off required, less focus, obviously pricing is always up there but it's not necessarily the first thing that people look at, are you starting to see the underlying factors ease up a little bit or is that trajectory continuing?
Bill Green: Yeah, I would say on balance, yes. It's interesting, I don't know if it's C-level sign off but it's C-level involvement. I mean, as executives are sort of starting to turn to look to the future they are getting involved very directly in a lot of these new initiatives, so they are very close to it and in fact they are the sponsor of half of them, and the thing that also going through our analysis, things around how do you compete on the global stage has continued to be more important and how do you focus on customer service in sort of a next generation way has been another thing and we hadn't seen a whole lot of that four quarters ago, but that is what has turned so there's a better mix of the cost performance and the revenue and growth enhancement in the portfolio of new bookings than there were say two or three quarters ago.
Adam Frisch – Morgan Stanley: Okay, great. Thanks guys.
Bill Green: Thanks Adam.
Pamela Craig: Thank you, Adam.
Operator: Next we have Edward Caso with Wells Fargo.
Pamela Craig: Hi, Ed.
Bill Green: Hi Ed.
Edward Caso – Wells Fargo: Thank you for taking my question. I wanted to look at the outsourcing, about 42% of revenue. Curious about how much of that comes up for renewal in the next four or five quarters and what you are seeing as far as changing attitudes on the part of your clients, in other words are they looking for more offshore and is that creating a greater competitive wedge [ph] from some of the established and offshore players?
Bill Green: Well I guess I would say this. I'm not satisfied with our consulting bookings, and our outsourcing bookings, I will just start with that. I want them to be higher. I expect them to be higher. The good news is outsourcing has come back. The downturn was so severe that people just stopped doing anything and so when we look at the pipeline, when we look at the activity levels, when we look at the bookings we see people back focused on this but there's no question that people are looking for real value for money. And so it's incredibly competitive out there. I think what's important though, Ed, is you don't let the things go to renewal time. I mean, many of the things you do if you take an initiative in how to put a better proposition on the table to extend the relationship you have and we very much leverage our offshore capability. We now have 100,000 people in the global delivery network, 50,000 people in India as of May 31, and we leverage that in order to put a proposition on the table that improves the economics for our client, and works for Accenture economically as well, and so that's the approach we pretty much have taken to the anniversaries of some of the contracts.
Edward Caso – Wells Fargo: Okay. Could you give us a sense for how many points of revenue growth that takes out now that – as you cycle through these larger contracts, and how much of a headwind is it to your growth rate?
Pamela Craig: What do you mean by a headwind?
Edward Caso – Wells Fargo: Well as you move from say maybe all on site personnel to a greater percentage of people offshore, you are obviously billing less per hour, so the $1 billion contract has become an $800 million contract and just a sense for sort of the mix shift you are facing?
Pamela Craig: Yeah, I mean, I think in outsourcing I think you are referring to technology outsourcing primarily, right?
Edward Caso – Wells Fargo: Technology and BPO.
Pamela Craig: Okay, well one of the things that we talked about on April 8th was that in Business Process Outsourcing, I would say there's really not any headwind there because really we are pretty much all the parts that can be in lower cost locations are. In application outsourcing we are also well down that road. It's really in system integration where we have more of that to go.
Edward Caso – Wells Fargo: Thank you.
Pamela Craig: Thanks, Ed.
Operator: We will go to Bryan Keane with Credit Suisse.
Bryan Keane – Credit Suisse: Hi guys and congratulations.
Bill Green: Hey, Bryan, how are you doing?
Pamela Craig: Hey, Bryan.
Bryan Keane – Credit Suisse: I'm doing well.
Bill Green: FX, right, Bryan?
Bryan Keane – Credit Suisse: Yeah, I'm going to ask about FX, but I'm saving it until last. You guys reiterated your 7 to 10% outlook in constant currency for fiscal year ‘11 but I'm just curious as your assumptions in Europe changed for fiscal year ‘11 due to some of the uncertainty or is Europe plans the same as when you gave the guidance in April?
Pamela Craig: Well, Bryan, as I mentioned in April and I remember you were right out of the chute with the FX question there then too, we will confirm all of this in the fall and I think the most important thing is because you know we run our businesses in local currency, we plan them in local currency, we manage them in local currency and all of the key underlying business assumptions we have remain the same. And yeah, foreign currency in Europe has been jumping around. We plan for some room in our earnings per share, but really don't see any point right now in providing the FX assumptions for fiscal ’11 because it may change again come September.
Bryan Keane – Credit Suisse: I was just asking about constant currency in Europe. Has that plan changed?
Pamela Craig: No, it has not.
Bill Green: We haven't changed that, and one of the comments Pam made is about agility and we learned a lot in the last sort of six quarters about how to be agile and how to have the offerings that clients are looking for and so when we look at Europe right now, we recognize there could be some changes in terms of demand patterns and things over there, but our job is to just make sure we respond to those as directly as we can, and so we feel very good about Europe broadly. I mean, we know there's going to be some bumps over there just – by everything you need but at the end of the day, it's just do you have the right offerings for the right companies and are you getting in front of those, and that we feel pretty comfortable with, so when we look at our business plan for Europe for next year, we intend to execute it as we had when we first conceived it.
Pamela Craig: Yeah, so there has not been a change since April 8th.
Bryan Keane – Credit Suisse: Okay. And then, just two last clarifications on Europe. One is just can you let us know your exposure to kind of that (inaudible) region and has that region been a little bit weaker and then just to be clear, over the last month or so, have you seen Europe start to be different, kind of a different trajectory in growth or it's kind of sluggish and it continues to be sluggish so there's no real different change?
Pamela Craig: We have not even anything over the last month. And in fact if anything it has been more of a sort of gradual pick up, and in terms of those countries and that acronym, we do have large businesses in Italy and in Spain. Those have always been extremely well managed businesses for us and continue today.
Bill Green: I would just add, we see Ireland bouncing back ahead of the game in some ways in terms of a lot of Ireland has taken the medicine and I think the other thing we look closely at is sort of the big global clients – are our clients in these countries, and so a lot of them even though they happen to be in Spain, they are big global banks and they react more to the global market than they react to the market in Spain and that serves them exceptionally well and it serves us well also.
Bryan Keane – Credit Suisse: And I will just leave it with the FX question. I'm calculating about today's rates maybe five to six points of headwind for fiscal year 2011. Have you done any math and does that seem about right, Pam?
Pamela Craig: Our math would say it's a little less.
Bryan Keane – Credit Suisse: Okay, great. Thank you very much.
Operator: We will go to Karl Keirstead with Kaufman Brothers.
Karl Keirstead – Kaufman Brothers: Yes, hi. I've got a question to follow-up on Adam's about consulting and revenue. I will ask it a slightly different way. Maybe it was coincidence but in constant currency your bookings growth in fiscal ‘09 was about equal to what your constant currency revenue growth will be this year, and yet if you hit the midpoint of your bookings guidance for this year, it will be about flat bookings and yet that needs to drive the 7 to 10% revenue growth next year, so I guess my question is, is the revenue guidance dependent upon a real uptick in bookings, or has something changed in the business such that the bookings this year are simply going to convert a little faster next, thank you.
Pamela Craig: Hello, Karl.
Karl Keirstead – Kaufman Brothers: Hi.
Pamela Craig: Yes, regarding the bookings, things are converting faster. Things are smaller and have shorter duration which means then you can't really make that comparison that you made, and we do have visibility as we look forward into fiscal ‘11 that's very similar to what we had at this point last year.
Karl Keirstead – Kaufman Brothers: Okay, that's good color, thank you.
Richard Clark: Operator we have time for one more question.
Operator: Thank you. That will come from Moshe Katri with the Cowen Group.
Pamela Craig: Hey, Moshe.
Moshe Katri – Cowen & Co.: Hey, thanks for taking my call. Just briefly on pricing, some of the Tier 1 offshore companies are talking about the scenario where they are actually planning to go back to their customers and trying to reprice some of the existing engagements, getting better pricing, maybe you can touch base on that. Thanks.
Bill Green: Well, I haven't seen one of those. I think it's a good theory. It's a good story. I do think – frankly, when you look at the pricing on the new work given the resources you have, given the competitiveness, given whether it's sole sourced or not and whether you want to open the door to people coming in. I think there's just a lot of people who have taken mental possession of the pricing that's been in the market, and I think fundamentally the pricing has changed and that's why we look really hard at our cost to serve, and we drive our cost to serve down all the time, because that's where we create lift. We think we have opportunities to get better yield out of the stuff we do offshore, particularly the things we move from onshore to offshore, than we do today and we are going to focus on that in our 2011, but I haven't seen a lot of initiatives of anybody repricing stuff out there, and frankly we are looking ahead at the work but not looking back at the work that we might have had.
Moshe Katri – Cowen & Co.: Great. Thanks.
Bill Green: Well, let me just wrap up and say a couple of things in closing here. First, I am delighted with our performance in the third quarter and it has been a rough ride around the place in terms of the environment. It's been a tough environment for our clients, but what was most important to me is that we execute in 2010 and maybe more important than that, we get Accenture back on its trajectory of increasing growth, and we have done that. We couldn't do that without the more than 190,000 men and women of Accenture whose focus and commitment to their work and their clients is what enables us to deliver real value, not only to our clients but our shareholders as well. So, I want to thank you very much for joining the call today. We appreciate your continued support and we look forward to talking to you again in our Q4 2010 earnings call in the fall. All the best.
Operator: Thank you. Ladies and gentlemen, this conference will be available for replay after 7 PM tonight through midnight, Thursday, September 30th. You may access the AT&T executive playback service at any time by dialing 1-800-475-6701 and entering the access code 158013. International callers dial 320-365-3844 using the same access code, 158013. That does conclude our conference for today. Thank you for your participation and for using AT&T executive teleconference. You may now disconnect.